Operator: Good afternoon, ladies and gentlemen, and welcome to the Linamar Q3 2022 Earnings Call Conference Call. [Operator Instructions]. I would now like to turn the conference over to Linda Hasenfratz, Executive Chair and CEO. Please go ahead.
Linda Hasenfratz: Thanks very much. Good afternoon, everyone, and welcome to our third quarter conference call. Joining me this afternoon are members of my executive team, Jim Jarrell, Dale Schneider, Roger Fulton, and some members of our corporate IR, marketing, finance, and legal teams. Before I begin, I'll draw your attention to the disclaimer that is currently being broadcast.  I'll start off with a review of sales, earnings and content. Sales for the quarter were $2.1 billion, up 27.5% to last year on recovering markets and market share growth. Normalized net earnings were $121 million. Earnings are up 15.5% over last year on stronger sales despite massively higher costs, a lack of subsidies in comparison to prior year, and higher SG&A and fixed costs supporting our growth strategies.  Our Industrial segment had a good quarter on the top line with sales up at both MacDon and Skyjack on stronger markets, market share growth, or better pricing, or in some cases, all of the above. We also had the benefit of a full quarter of our new agricultural business Salford. That said, higher costs related to materials, labor, freight and utilities had a major negative impact to the bottom line in the Industrial business in comparison to prior year, basically wiping out earnings growth from those stronger sales.  The Mobility business had a strong quarter thanks to strong market growth, launches and increased pricing related to cost recovery, partially offsetting associated increases in material, utility and freight costs. We continue to work with our customers globally to try to recover some of these massive cost increases, which are really dampening our earnings growth. We also felt the impact of our Mills River foundry acquisition from our JV partner, which moved this loss-making facility into operations versus it being below the line last year. We have a plan in place for steadily executing on to bring the facility to profitability inside of the next 12 to 18 months. It is good to see margins steadily improving from the low point that we saw late last year.  We saw strong growth in content per vehicle in our core North American and European regions, reaching the highest content to date in both regions, which is great to see. Launches are a big part of that, as our vehicles that we have high content on being selectively prioritized for builds by our customers. North American sales growth was particularly notable, up 44.4% over prior year and a market up 24.1%.  Commercial and Industrial sales were up 18.6% with growth at both Skyjack and MacDon on market growth or market share growth in key products. We also had our first full quarter results for Salford, helping to grow our agricultural sales.  CapEx continues to run at a higher level than last year's supporting global launches. 2022 will be up significantly from 2021, though just under our normal range of 6% to 8% of sales. 2023 will see a big tick up again from this year and will be back in our normal range.  Free cash flow was up $37 million in the quarter on strong earnings. We still expect to see solidly positive free cash flow for the full year this year on a strong back half. 2023 will also see solidly positive free cash flow. We have a very strong track record of generating free cash flow and free cash flow yield has been in the double-digit range for the last several years, which we are very proud of.  We have $1.3 billion of liquidity available to us, which is also excellent. With an active NCIB program, we increased our net debt position in comparison to last quarter despite seeing that positive free cash flow. Leverage remains very strong at just 0.46x net debt to EBITDA.  We purchased 1.8 million shares back under the NCIB in the third quarter for a year-to-date total of 3.5 million before entering Q3 blackout in early October. Our strong balance sheet and liquidity mean that we have the ability to continue to pursue acquisition opportunities as they arrive in a dynamic market and drive even more growth.  Let's turn to a quick update on some of the headwinds we're facing at the moment around supply chain, energy costs, logistics and labor shortages. This slide gives you a good high-level summary of the issues and their current status. We're seeing improvement in several areas. For instance, chip shortage shutdowns are becoming less frequent, shipping costs are leveling or normalizing, commodity prices are declining, and supply chain availability improving in some areas, but it's still a challenge in others. Labor availability continues to be a challenge primarily in North America and Europe and most acutely in the U.S. Energy costs continue well above normal levels, mainly in Europe.  Looking more closely at a few of these areas, you can see on the chip impact, the predictability of volume loss has really improved. 380,000 less vehicles were built in Q3 due to chip shortages than planned at the beginning of the quarter compared to much higher figures in earlier quarters and huge impacts in Q3 of last year. That doesn't mean everyone has the chips they want. It just means they're planning less builds and getting surprised less, which is a good thing for volatility which is very disruptive. Chip availability is improving somewhat with additional capacity that has come online and more meaningful capacity will come online next year to further augment vehicle build levels impacted by the deep backlog and need to refill the pipeline of inventory on dealer lots.  You can see here trends for the commodities that most impact us here at Linamar. We're seeing good improvements in all key commodity areas such as steel and aluminum, which is a positive as well. We continue to see issues in the ability of suppliers to meet demand, notably on the industrial side, which impacts not just cost, but our ability to meet production needs for a rebounding market. It's also very disruptive on the productivity side, which is part of what is driving labor costs up. The issues are starting to improve on the MacDon side of the business as illustrated by these charts, with assembly line shortages down and header production up.  Skyjack is also seeing in general a positive trend. The problem is, for both MacDon, Skyjack and Salford, even with overall less issues, we continue to see some chronic issues repeat. And the bottom line is, if you're missing anything, you don't have a product you can ship, which is frustrating to the teams. Ocean freight costs are still well above normal levels, but we have seen costs level off in Europe, and they are definitely normalizing in Asia, where some lanes are starting to get close to early 2020 levels again.  Energy costs are still a major issue for us, notably in Europe, and have become more as an issue globally as well. We've seen a bit of softening in gas prices in Europe over the past couple of months, but are quite concerned that won't last as we head into the winter months. Regardless of the improvement, natural gas prices in Europe are still massively up over normal levels seen over the last decade. We're certainly feeling the impact of that in our European plants. Natural gas prices in the U.S. have increased as well over the past few months, which we're keeping an eye on.  On the positive side, energy costs for us are typically 1% to 2% of sales in most of our plants, but much higher of course in our foundries. In general, not a massive bleeding in our cost structure, but even something small can have a big impact if the change is substantial, which is exactly what we're seeing. It is certainly a meaningful impact for our casting and forging plants, and we are actively engaging our plants in energy conservation and operate energy projects to reduce our dependence and our costs. This is a key focus over the next 12 months.  Finally, we're continuing to see a real shortage in the availability of labor. Acceleration of retirement, insufficient immigration, and lingering effects of COVID on the number of workers is the issue. This puts pressure on costs of course, both in terms of wage inflation, but also in terms of higher recruiting and retraining costs. Unfortunately, wage inflation is not something that is transitory. To summarize on the challenges, higher labor and energy costs here, likely to stay. Shipping costs in commodities tapering back, better supply of chips, helping to enable higher and more consistent levels of vehicle builds. Obviously, the fact that some of these higher costs are not transitory means we must seek cost recoveries from our customers, and we continue to diligently pursue such. We have had some success in recent months to offset at least a portion of the cost, and we continue to pursue added relief.  I'll now turn to market outlook. Market demand is strong pretty much across the board at the moment, which is great news, and expected to be strong next year as well. Unfortunately, supply chain issues are constraining industry's ability to deliver that demand, notably on the industrial side. With strong underlying demand, I believe we'll be looking at a sustained period of strong performance for some time after these issues get resolved.  Turning to the specific markets, industry experts are predicting growing light vehicle volumes globally this year to reach 14.5 million, 46.6 million vehicles in North America and Asia, respectively, and they're expecting a slight decline in Europe to 15.6 million. This represents double-digit growth in North America, single-digit growth in Asia, and as noted, a small decline in Europe. 2023 should see mid-single-digit growth in all regions.  Semiconductor chip supply, other supply chain issues and sporadic China lockdowns continue to create volatility in customer schedules, which does put predictive volumes at risk. Industry experts are predicting on-highway medium heavy truck volumes to be up in North America this year, but down in the EU and Asia. Next year, we'll see growth in all regions, muted in North America but stronger in Europe and most robust in Asia. Industry experts predict double-digit growth in the access market globally this year in all 3 regions of North America, Europe and Asia and growth globally again next year.  Lastly, the agricultural industry is predicting 5% to 10% growth in most regions globally this year, except Europe where the outlook is flat. Most regions should see some growth next year, but likely at a bit of a slower rate for this year.  Looking at a little more detail on the auto side, you can see inventory levels in North America has picked up a little to 32 days, but are still well below the store level. Refilling the pipeline with vehicles will still be a major priority to the automakers and will take some time to get done. And looking at production levels compared to what was forecast at our last conference call, you can see a slightly stronger Q3, but basically all running out of Asia as China tries to catch up on lost production. Europe was notably softer than expected by 300,000 vehicles. Q3 ended at 21.2 million vehicles, up dramatically from last year's 16.6 million, which if you recall, was the peak impact of lost builds thanks to lack of semiconductor chips. Q4 is forecast to be similar in production to Q3, which is a little down from what was predicted last quarter, again, mainly due to Europe. For the full year 2022, it is still expected to be up now 6% up from 2021.  Looking at the access market in more detail, you can see first that both the North American and European markets showed strong double-digit growth over prior year in Q3. And as noted, expect strong double-digit growth this year globally. Asia is also growing but at a more muted level than North America and Europe in the quarter and for 2022. Next year is expected to also see double-digit growth globally but at a more muted level than 2022. Utilization in North America slowed a little during Q3 compared to 2019 levels, but are staying still plus or minus 2% at 2021 levels. Utilization levels in Europe continued to trend well about 2019 levels this year, although the gap to 2021 narrowed a little in Q3.  Our backlog at Skyjack is up meaningfully from prior year at nearly 2.5x, thanks to robust market demand. Delivery of orders is being impacted by supply chain challenges, however. As we work through these issues, we feel confident we can grow Skyjack in double digits this year and next year based on this very strong backlog. We are of course keeping a close eye on potentially shifting market conditions for 2023 in the event of an economic slowdown.  In the agricultural business, Q3 combine retails in North America are up 13% over prior year, so picking up in growth compared to earlier in the year. Experts are predicting growth in the combine header market this year in mid-single digits globally, with Europe being the only exception with a flat outlook for this year. The windrower market will also see mid-single-digit growth globally this year, driving out of strong growth in Europe and Australia, and mid-single-digit growth in North America. Other regions are flat for windrowers.  The order book at MacDon is up over last year, but meeting demand is a continued challenge for MacDon regarding supply chain and logistics issues and is a limiting factor to growth as opposed to demand. That said, our current forecast is for double-digit growth this year and next year for MacDon.  North American high horsepower tractor retails were up 12% in Q3, which is a good indicator for Salford's market segment. North American high horsepower tractor retails are expected to be up 10% this year, and the rest of the world up 5%. Europe is expected to be flat compared to last year. Overall market growth for tillage and crop nutrition equipment in North America is expected to be up 6% to 10% this year and expected to continue growing next year as well, although perhaps at a little more muted level.  Salford is seeing a strong backlog in all products, well up over prior year and a positive outlook for continued growth in 2023 based on continued market demand.  Turning to an update on growth and our outlook, you'll be pleased to know that we had another outstanding quarter in new business wins, and once again, a very strong quarter for wins in the electrified space. I will highlight a few of our more strategic wins in a moment. Electrified vehicles continue to provide great opportunities for us. We had a huge quarter in terms of business wins for battery electric and hybrid electric vehicles. In fact, in just 3 quarters this year, our new business wins for electric vehicles are well over 3x what they were for all of 2021. Momentum is clearly building in our portfolio of these important vehicles in the future. At this point, 51% of booked sales in 2026 in our mobility business is for non-ICE powertrains. That's a huge shift from less than 25% in that category last year.  With respect to launches, we're seeing ramping volumes on launching programs, which are predicted to reach 30% to 40% of mature levels this year, generating incremental sales of $500 million to $600 million. Next year, we'll see incremental sales growth of $800 million to $900 million. These programs will peak at more than $5 billion in sales. We saw a shift of nearly $330 million of programs moving from launch to production last quarter, more than offset by very strong business wins seen in the quarter.  As usual, we're summarizing all of these expectations on our outlook slide now being displayed. With strong markets and market share growth, we are expecting to see double-digit growth on the top line in 2022. We continue to expect a strong back half of the year with double-digit earnings growth as well, but not enough to drive EPS growth for the full year, which will stay overall flat to 2021. We do expect to see double-digit top and bottom-line growth next year. This drove double-digit growth at both Skyjack and MacDon this year, coupled with solid launches in a growing market on the Mobility side. Next year, we will see continued growth in both segments as well. Net margins will contract somewhat compared to last year on the back of higher material, energy, freight, and labor costs. Next year, net margins will see expansion as some of these issues resolve. We will also see continued positive free cash flow this year and next year, leaving us in an excellent position from which to drive further growth.  Looking specifically at Q4, you should expect sales down compared to Q3 of this year but meaningfully up from Q4 of last year. The mobility segment will see sales at best flat to Q3 2022 but meaningfully up from last year's Q4. The Industrial segment similarly will see sales -- while they'll see sales seasonally down from Q3 2022, but also significantly up from prior year. On the net earnings side, you can expect Q4 to be down compared to Q3 but significantly up from prior year based on these sales changes. Similarly, net margins will be down from Q3 of this year, but up from prior year. Industrial margins are the driver on declines from Q3 as they will be seasonally down and mobility margins flat. Similarly, industrial margins are driving the comparison to prior year as they will be significantly better in Q4 than the loss that we saw in Q4 last year, offsetting mobility margins which will be down in comparison to last year.  Roger would like me to remind you that the situation is very dynamic and the impact is not fully determinable in terms of their impact at this point. Notable risk areas are supply chain, labor shortages, lockdowns in China, and geopolitical risk.  Moving on to new business wins on the mobility side, I'll highlight a few of our more interesting wins this quarter. First up, we won several different programs in shafts and differential cases for transmission programs worth in aggregate more than $55 million a year in revenue. These programs are launching in a variety of facilities in Canada, in Hungary, and in Germany over the next year. Secondly, we have a full series of different wins for a variety of battery electric vehicle programs, which we will be launching in Canada, China, and Mexico, representing close to $130 million in annual sales.  Finally, we won a very a significant program for a large structural component for a battery electric vehicle. This program is quite meaningful in both size and sales potential and will necessitate the building of a new facility to house it. We are in the process of finalizing the planning for this facility, and we'll have more information for you on our next call. This is an exciting new area of expansion for us with great growth potential.  Turning to an innovation update, I'm excited to share some exciting progress on our Flexform Hydrogen Storage Tank. The conformable tank, which is currently in an R&D phase, offers distinct packaging advantages for fuel cell electrified vehicle applications, and it remains a significant long-term opportunity for us in the electrified fuel cell vehicle space. Progress continues with the product certification roadmap as well as the development of the manufacturing process. Currently, we're targeting a production-ready solution to take to the market by the end of next year. The tank was recently displayed at the IAA Transportation Show for commercial trucks in Germany. It, along with all of our eLIN product portfolio, is gaining attention from our customers.  Next, the Skyjack team continues to expand their customer-focused technology offering by building on their reputation of simple, reliable engineered solutions for the AWD market. We've outlined in the past how our ELEVATE telematic solution helps equipment operators better manage their fleet. Now the Sky360 video tech support feature gets added as another customer focused technology meant to improve efficiency within their operations. Tech support expertise is available remotely via the Sky360 video feed, enabling quicker equipment troubleshooting. Sky360 is currently being rolled out on a global basis.  And lastly, MacDon's work on advanced technologies continues with the introduction of 2 Trimble-based GPS guidance systems. The 2 systems, one a value application, and the second a high-performance option, are being introduced on the Model Year 2023 M1 self-propelled windrowers. The new guidance system accessory option aids operators with improved efficiency in the field and helps to reduce operational fatigue in the cab. Another great example of precision technologies in the ag sector.  Finally, we continue to execute on our global digitization journey with more and more connected machines, data connections, and robots being commissioned in our global plants every day. With that, I'm going to turn it over to our CFO, Dale Schneider, to lead us through a more in-depth financial review. Over to you, Dale.
Dale Schneider: Thank you, Linda, and good afternoon, everyone. As Linda noted, Q3 was a great quarter for sales and earnings despite the continuation of the supply issues that are impacting both the sales and other costs for earnings net of any recoveries we received in the quarter from our customers. Q3 was another positive quarter for cash generation as well. And as a result, we were able to maintain a strong level of liquidity at $1.3 billion.  For the quarter, sales increased 27.5% to $2.1 billion. Earnings are normalized for any FX gains or losses related to the revaluation of the balance sheet and any potential other items that may have occurred. In the quarter, earnings were normalized for FX gains related to the revaluation of the balance sheet, which impacted EPS by $0.19 per share.  Normalized operating earnings for the quarter were $168.4 million. This compares to $150.7 million in Q3 '21, an increase of $17.7 million or 11.7%. Normalized net earnings increased $16.2 million or 15.5% in the quarter to $121 million. Fully diluted normalized EPS increased $0.31 or 19.4% to $1.91.  Included in earnings for the quarter was a foreign exchange gain of $16.3 million, which is a result of a $17 million gain for the revaluation of operating balances and a $700,000 loss on the revaluation of financing balances. As I mentioned, the FX gain impacted the quarter by $0.19 per EPS.  From a business segment perspective, the Q3 gain of $17 million related to the revaluation of operating balances was a result of a $10.4 million gain in Industrial and a $6.6 million gain in Mobility. Further looking at the segments, Industrial sales increased by 22.9% or $99.5 million to $533.4 million in the quarter. The sales increase in the quarter was primarily due to the acquisition of Salford, which we had our first full quarter of sales. The higher sales achieved to help relieve the -- sorry, the higher sales prices achieved to help relieve the current supply cost pressures, higher agricultural sales driven by both market and market share gains. And finally, stronger volumes on the access equipment sales.  Normalized Industrial operating earnings in the quarter increased $1.4 million or 1.9% over last year to $74.3 million. The primary drivers impacting Industrial sales was the increased contribution from strong agricultural equipment volumes, the sales from the Salford acquisition, the increased contribution of the higher access equipment volumes, which these are partially offset by the ongoing supply issues impacting raw materials, freight and utilities, the lack of government support this year for COVID-19 and an increase in costs from Skyjack manufacturing expanding into Mexico and China.  Turning to Mobility, sales increased $353.6 million or 29.2% over last year to $1.6 billion. The sales increase in the third quarter was driven by the stronger volumes on the improving customer supply chain situation, cost recoveries achieved from our customer negotiations, the increased volumes on launching programs, and other certain high-volume mature programs. The sales impact of the fully consolidated Mills River location, but now it's 100% owned. And these were partially offset by the negative impact of changes in FX rates last year.  Q3 normalized earnings for Mobility were higher by $16.3 million or 21% over last year. In the quarter, Mobility earnings were impacted by the increased contribution on the improving supply chain issues. The increased contribution on the higher launch and mature volumes, the positive impact from changes in FX rates since last year, and these were partially offset by the lack of government support for COVID-19 this year. The operating earnings impact of fully consolidating our Mills River facility, increased SG&A costs that are supporting our growth, and the increased raw material, utilities and freight costs net of our customer recoveries. Returning to the overall Linamar results, the company's gross margin was $277.9 million, an increase of $42.4 million compared to last year, mainly due to the same factors that drove the segment results. Cost of goods sold amortization expense for the third quarter increased slightly to $110 million. COGS amortization as a percent of sales though did decrease to 5.2%. Selling and general administration costs increased in the quarter to $108.7 million from $85 million last year. This is primarily the result of the incremental SG&A costs from both our Salford and our Mills River acquisitions. The increased costs related to the management and sales costs that are supporting our growth, increased travel as the global restrictions continue to relax, and the fact that we had no government support for COVID-19 this year.  Financing expenses increased $7 million since last year, mainly due to the additional interest expense related to the Bank of Canada and the U.S. Fed rate hikes, the increased debt due to acquisitions and the share buyback program this year, and the negative impact of changes in FX rates on our debt since last year. The consolidated effective interest rate for Q3 was 2.8%. The effective tax rate for the third quarter decreased to 24.5% compared to last year, primarily due to the decrease in nondeductible expenses in the quarter, a decrease in tax expense now that GFL is fully owned, and these are partially offset by an unfavorable mix of foreign tax rates. We are expecting the 2022 full year effective tax rate to also be in the range of 24% to 26% and consistent with our full year rate of last year. Linamar's cash position was $856 million on September 30, an increase of $50 million compared to last year. The third quarter generated $118.3 million in cash from operating activities, along with proceeds from debt being used to fund CapEx and the share buybacks. As a result, net debt to EBITDA increased to 0.46x in the quarter from negative 0.01x a year ago, mainly due to the acquisitions in Q2 and the activity on the non-course issuer bid this year. Based on our current estimates, we are expecting 2022 to maintain our strong balance sheet and leverage should remain low.  The non-available credit on our credit facilities is $435 million at the end of the quarter. Our liquidity at the end of Q3 does remain strong at $1.3 billion. As a result, we do currently believe we have sufficient liquidity to satisfy our financial obligations for this year.  To recap, sales and earnings for the quarter was a story of improving markets and increasing market share in both segments. The supply shortages that have been hampering the OEM production requirements have started to see improvements, adding additional Mobility sales and earnings. The supply-related cost increase continued to impact both segment's earnings. The good news is that the cost increases started to temper with the price increases that we've achieved in Industrial and the cost recoveries we've achieved in Mobility. Despite these challenges and with the 2 acquisitions in Q2, we were still able to maintain a strong level of liquidity at $1.3 billion. That concludes my commentary, and I'd now like to open up the call for questions.
Operator: [Operator Instructions]. Your first question comes from Mark Neville with Scotiabank.
Mark Neville: Good results. Maybe if I start with -- maybe start with Industrial. There was a pretty significant quarter-over-quarter improvement in the margin. Sales were up a bit, but maybe can you just speak to sort of the main drivers behind and beyond that, again sequentially?
Linda Hasenfratz: Yes. I mean sales were up -- a big part of it was really the sales growth. Yes, normalized margins are up, but when you have a big pop in sales, a lot of that falls to the bottom line. Secondly, we saw a stronger mix in our agricultural business compared to the Skyjack business where the margins are better. I'd say those 2 things would be really the key factors.
Mark Neville: Okay. Got it. And then, again, maybe the same question for auto. But the margins I think were down sequentially. Sales were basically flat. I think you had some cost recoveries. Again, I'm just maybe just curious to some of the headwinds sequentially. I'm guessing energy, but just curious to hear your thoughts.
Linda Hasenfratz: Yes, you exactly identified it. It's really just a reflection of continued cost escalation, notably in Europe on the energy side. Energy cost up in Europe, that's definitely a key factor. Material cost increases from suppliers in a variety of areas would also be a factor. It's just a reflection of the continued cost escalation.
Mark Neville: Okay. And maybe just one last one, just on the guidance. For 2022, I think it's flat normalized earnings I think for the year, versus last year, you're still down about $1. I guess just my sort of back of the envelope math, it would put Q4 around $1.90, which would be flat quarter-over-quarter. But you're suggesting down. So just -- again, I don't know if I've got some of my numbers are off, but I'm just sort of curious if you could speak to that.
Linda Hasenfratz: Yes. I mean, we're looking at normalized EPS that we believe can be flat to prior year. I think there is a lot of pressure on Q4 so I'm taking a little bit of a conservative outlook on it, notably in Europe where we're already seeing a little bit of softening in terms of customer schedules and I'm a little bit worried about where that's going to go.
Operator: Your next question comes from Peter Sklar with BMO Capital Markets.
Peter Sklar: In terms, on the Mobility segment, in terms of commercial recoveries, how do you think that impacted your quarter in Q3 versus Q2? Did you get a bit of a bump? Just the cadence of recoveries was more in Q3 versus Q2? Or it's about the same? Or it's really hard to tell?
Linda Hasenfratz: I would say it was pretty similar in terms of the cost recoveries.
Jim Jarrell: Yes. I would think it's -- yes, that's accurate. Very, very similar.
Peter Sklar: Okay. I think on the last call, you said pricing, you took some price on Skyjack products in May. And I'm just wondering if there's been any further price taken since that May price increase?
Jim Jarrell: No. Basically, we reset some of those, Peter, in May, as you just correctly said. So that has not changed since then. There is some refresh going into '23, which would be across sort of all the industrial businesses that we have. That would be coming into effect, but nothing more at Skyjack as of after May.
Linda Hasenfratz: Normally, those increases happen on an annual basis in January. You know, it's pretty unusual that we had a price increase midyear.
Peter Sklar: This year, there would have been the normal January increase plus May?
Jim Jarrell: Yes.
Peter Sklar: Okay. And similarly in Ag, when do you put through price on the agricultural equipment side, typically?
Jim Jarrell: Typically, at the start of the year.
Peter Sklar: And was there anything additional taken in May on the Ag side?
Jim Jarrell: No.
Operator: Your next question comes from the line of Krista Friesen with CIBC.
Krista Friesen: Congrats on a great quarter. I was just wondering on the CPV, obviously quite strong. Is this a new normal that we could expect going forward? Or was it just early beneficial mix this quarter? Or what can we -- how can we think about that?
Linda Hasenfratz: Yes. I mean it does pop around a little bit depending on what customers are building. As we've been seeing, frankly, for a while, really since the chip issue struck, our customers are preferring to build the vehicles that we have more content on. That has shifted our content up, cost recoveries have shifted our content up. It can shift if those vehicles are no longer selectively being built, so that's obviously a potential downside to it. But I mean, we do have the cost recoveries, which continue to flow through.
Krista Friesen: Okay. That's great. And then I was also just wondering on the labor front, obviously that's a bit of a headwind. Are you having issues actually getting labor and is that capping any sort of production? Or is it just the fact that you have the labor, but to keep it you need to pay higher wages?
Linda Hasenfratz: I'd say it's a combination. I mean there's definitely a shortage of people in the workforce, particularly in the U.S. most notably I would say, but in Canada as well. And we're seeing shortages in Europe as well. It's an ongoing issue, which is definitely a frustration.
Jim Jarrell: Yes. I would just add that it's -- we need to keep the people too. When some of the supply chain issues happen or releases that customers change because of semiconductor or their supply chain, the people you have to keep, you can no longer use that as a variable. It's more of a fixed situation just because we have to retain them and recruit. I would say, for us, North America, Europe are definitely having that labor concern. Asia is a little insulated from it though.
Dale Schneider: Yes. And I would add that with the shortage of -- our inability to recruit people to hire, it just means we're working extra overtime, so that's adding to the cost as well.
Operator: [Operator Instructions]. Your next question comes from Brian Morrison with TD Securities.
Brian Morrison: I might have missed this at the beginning of the call, but it looks to me like Mills River had about a 150-basis point impact upon the operating margin of Mobility. And I'm just curious, when will Mills River get to profitability? And is the target operating margin to be in line with the Mobility segment?
Linda Hasenfratz: Yes. We have a solid plan in place for getting Mills River into a profitable position. I mentioned in my comments that we're expecting that to happen in the next 12 to 18 months. There's a lot of work to do and we're clicking away at it, but we do expect that we're going to get there.
Jim Jarrell: Yes. I think, Brian, just a couple of things. It has a really solid book of business there. It's got great assets that we can market. These are bigger sort of structural-type presses that we can use for the marketplace. It's just really restructuring the business from a cost side and from a pricing side in the market. And that -- it just takes time to do that. And I think, again, the 12 to 18 months, as Linda said, is a pretty good timeframe.
Brian Morrison: And should we see a gradual improvement from current to…
Jim Jarrell: Yes.
Brian Morrison: Okay, so it would be a tailwind as we go forward is what I'm getting at?
Jim Jarrell: Yes.
Brian Morrison: Okay. I guess the next question is, in terms of your outlook for energy, European energy prices, it's nice to see them come down. What is baked into your assumptions for Q4 and 2023? Are we going to see them -- are you assuming that they essentially get passed through?
Linda Hasenfratz: We're assuming that the existing energy prices stay, so we're not forecasting in a reduction. In fact, I think there's more risk that they come back up. We're still working with customers to try to come to agreements around pass-throughs on cost recovery. Some we've been able to negotiate energy pass-throughs and others we're still working on.
Jim Jarrell: It's a real tricky one to be perfectly blunt about it. Because we are predicting to pass through, I mean, what we get in increases. However, nobody knows what those increases are. Customers are sort of thinking this is going to get worked out with government intervention and things like that. We've been very factual and given all the data to the customers in saying, look, here's where our base is. And from there, let's have it index or flex. And we're working with every customer on this today because it's really unknown. It's not really predictable, Brian, what's going on. There is outlooks, and then as Linda said, it went down a little bit, which was interesting because we thought it was going to go up. It's not really predictable. But our plan is to pass on. And then also, as Linda said, mitigate with our own energy conservation ideas, solar, other ways of creating energy, so we're on that as well.
Linda Hasenfratz: And to be clear, in terms of forecasting, if we have an agreement, we forecast that we're passing it on, but we don't have agreements everywhere.
Brian Morrison: Okay. And then last question, just housekeeping. I jumped on the call just a bit late, so I missed the beginning introductory remarks. But just last question is, can you just remind me of the entry into service of your Skyjack facilities in China and Mexico? And maybe provide an update on the time to ramp those to maturity?
Jim Jarrell: Yes. China, we are actually -- we've had our first unit come off the line in our LTJ plant in Tianjin. We're ramping that up probably through Q1. And that's just on one scissor product line. And then we have in China as well an adjacent site that we're building a facility, and that will take us through to '24 to get all the product lines going there. And then in Mexico, we basically will be starting up probably let's say mid next year with telehandlers. And then, again, by the end of '24, have all the product lines down in place in Mexico.
Linda Hasenfratz: The build in China, it's like the new plant build is still underway. Like where these original, or these initial products, we are going to -- we're running out of our existing facility.
Operator: There are no further questions at this time. Please proceed.
Linda Hasenfratz: Okay. Great. Well, to conclude this evening, I'd like to leave you, as always, with 3 key messages. First, we are thrilled to once again be delivering double-digit top and bottom-line growth this quarter. Secondly, we continue to execute very successfully on our strategy to grow our electrified vehicle content with over $1 billion in new business wins secured already this year and more than half of our booked sales in 2026 already, not ICE powertrain. Finally, we are proud of the market share growth we are seeing in our businesses, notably the record levels of content per vehicle were seeing in our automotive business. Thanks very much and have a great evening.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.